Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Barrick Gold Corporation fourth quarter 2009 results release conference call. During the presentation all participants will be in a listen-only mode. Afterwards we will conduct a Q&A session. (Operator's Instructions) As a reminder, this conference is being recorded Thursday, February 18, 2010. It is now my pleasure to introduce Deni Nicoski, Vice President, Investor Relations. You may go ahead.
Deni Nicoski: Thanks operator, and good morning, everyone. Before we begin I will bring to your attention the fact that we will be making forward looking statements during the course of this presentation. For a complete discussion of the risks, uncertainties and facts which may lead to our actual financial results and performance being different from the estimates contained in our forward looking statements, please refer to our year-end reports or our most recent AIF filing. With that I'll hand it over to Aaron Regent, President and CEO of Barrick.
Aaron Regent: Thanks, Deni and good morning and thank you for joining our fourth quarter conference call. I am joined here today by Jamie Sokalsky, Peter Kinver and Patrick Garver and other members of the senior management team. And so between all of us we will be sharing this presentation and we'll be available to answer your questions as well. I'll start by covering some of the highlights of 2009 and then I'll turn over to Jamie to take you through our quarterly results and financial position in a bit more detail. Finally then I will give you an update on our projects including the purchase of an additional 25% interest in Cerro Casale, our 2010 outlook and an overview of the creation of African Barrick Gold. I will finish off with some brief comments on our outlook for these gold markets. I'll probably apologize upfront; we have a lot of material to cover today so our formal presentation might be a bit longer than normal. But we will try to move things along quickly. Overall, returning to our, looking at 2009, overall I think we had a fairly productive year. We've met our operating cost targets, goal production was 7.4 million ounces, total cash cost of $460 per ounce and copper production was 393 million pounds, the total cash cost of $117 per pound. I think this reflects one of the strengths of that and that we have a diversified operating base which provides us with a high degree of stability to our production results. We continue to advance our project pipeline, Buzwagi is now in operation, Cortez is essentially complete on schedule and in line with its capital budget. Pueblo Viejo and Pascua-Lama also remain on track and on budget and beyond these first year projects, we've also made good progress in advancing our next generation of projects with feasibility studies being completed or near completion for Cerro Casale, Donlin Creek (inaudible) and kabanga. And I'll provide a further update on all of these in a moment. Our reserves increased again this year, had more than replaced 2009 production. With respect to our license to operate, we remain committed to achieving the highest social responsibility standards and I'm pleased to say that this was evidenced by our renewed listing on the Dow Jones world and North American sustainability indexes again in 2009. We also reported a 25% improvement in 2009 in last time injury rates over 2008; this is one of the lowest in the industry. We completed an organizational review to ensure we have the appropriate resources, clear alignment on key priorities and clarity around roles of responsibilities as we build our next generation of mines. This was a difficult process but necessary and I think we'll be a stronger organization in our decision making and our analytical abilities are significantly enhanced. We also took a number of steps to increase our leverage to the goal price. In early December, we announced we had completely eliminated our goal hedges ahead of our 12 month schedule we had set. With the hedge book gone, we now have full leverage to the goal price and a large and growing production and reserve base. In addition, this further simplifies and strengthens our capital structure and financially, we generated excellent adjusted earnings and cash flows on an adjusted basis, earnings were up 9% to a record $1.8 billion or $2 per share and operating cash flow increased by 29% to a record high of $2.9 billion. Return on equity on an adjusted basis increased to 12% in 2009. And so we enter 2010 in a strong financial position with good operating cash flows, significant cash in the balance sheet and an A rated balance sheet and so we have significant financial flexibility to sport our projects, operations and to fund acquisitions as well. So in 2009, I think we can look back and say we made progress on many fronts. I'd now like to turn it over to Jamie to discuss our results in more details.
Jamie Sokalsky: Thanks Aaron. Gold production at 1.9 million ounces at total cash costs of $474 per ounce in the fourth quarter enabled us to meet our original production guidance for the year. On a net basis after applying our copper revenue as a by product, cash costs for the quarter was some $153 per ounce lower at $321 per ounce. Copper production was 98 million pounds, at lower than expected total cash costs of a $1.8 per pound and that was driven by a higher relative contribution from our lower cost Zaldivar operation. Our realized gold price for the quarter was a record $1119 per ounce and that was $19 higher than the spot price. And our copper hedge position allowed us to realize a price of $3.44 per pound and that was $0.43 higher than the average spot price. On an adjusted basis, our net income of $604 million or $0.61 per share was 118% higher compared to $277 million or $0.32 per share a year ago and that reflects higher gold and copper margins and higher copper sales which was partly offset by somewhat lower gold sales. A reported net income of $215 million or $0.22 per share compares to the loss of $468 million or $0.54 per share a year ago. And that largely reflects a number of items. The final charge of $241 million or $0.24 per share related to the mark-to-market adjustment on the gold hedges which were completely eliminated in the fourth quarter. Now, the $102 million or $0.10 per share for some non-cash impairment charges, and finally $59 million or $0.6 per share of a reduction and deferred tax assets which was caused from a reduction in the Ontario corporate tax rate. So on an adjusted basis, operating cash flow of $921 million was more than double the prior year quarter and that reflects the higher adjusted net income. On a GAAP basis, negative operating cash flow of $4.3 billion primarily reflects the $5.2 billion cash settlement for the hedge elimination. Turning to our fourth quarter operating results, North America performed ahead of plan, producing about 600,000 ounces at total cash cost of $523 per ounce. Gold strike produced 207,000 ounces at total cash cost of $528 per ounce and it's currently in a weight stripping phase which we expect to be completed by mid year. Cortez contributed production of a 170,000 ounces, total cash costs of $382 per ounce and that higher production was a result of higher grades which is expected from the Cortez property, once Cortez hails in an operation. Our South American mines contributed 542,000 ounces at total cash cost of only $253 per ounce. Lagunas Norte produced 206,000 ounces at total cash cost of just $164 per ounce on lower grades which are expected to continue into 2010. Despite this, the mines should deliver another excellent performance in 2010 with the expected production of between 820,000 and 850,000 ounces at total cash cost of a $180 to $200 per ounce, and as anticipated, Veladero delivered a strong quarter with production of 275,000 ounces at total cash cost of $296 per ounce, as higher grades were accessed from both Amable and Federico pits and the crusher expansion was completed in the third quarter, which is expected to increased throughput from 50,000 to 85,000 tonnes per day. Production at Veladero is expected to go over a million ounces, increasing to 1.09 to 1.16 million ounces in 2010 and cash costs then will be significantly lower at $210 to $310 per ounce as a result of the higher expected throughput and higher grades. The Australia Pacific business unit contributed production of 537,000 ounces at total cash cost of $607 per ounce. Performance at Porgera of a 148,000 ounces at total cash cost of $532 per ounce was impacted by power supply issues in December which have since been resolved. Production from the African business unit was 213,000 ounces, at total cash cost of $617 per ounce. Higher production and lower cash costs compared to the prior year were due to the new Buzwagi mine which entered production on time and budget last May and which produced 66,000 ounces in the quarter at total cash costs of $511 per ounce. By the end of the quarter, the mine had successfully ramped up and is expected to produce between 240,000 and 260,000 ounces to Barrick's account and that of the African Bear Gold IPO, at total cash cost of $310 to $350 per ounce in 2010. For the year as a whole, our realized goal price was $985 per ounce which was $13 higher than the average spot price of $972 per ounce, and we also benefited from our copper hedge position realizing a price of $3.16 per pound which was 35% higher than the average market price of $2.34 per pound. On an adjusted basis as Aaron mentioned, net income rose 9% over 2008 to a record $1.8 billion or $2 per share and operating cash flow rose 29% to a record $2.9 billion on an adjusted basis, continuing to demonstrate the very strong cash flow generation potential of the company. On a GAAP basis, we reported a net loss of $4.3 billion or $4.73 per share, a negative operating cash flow of $2.3 billion, which primarily reflects the elimination of the gold hedges. Turning to our reserve position, Barrick has a strong track record of growing reserves. In the last four years, we have added more than 50 million ounces to our reserves. They now total 139.8 million ounces based on a gold price of $825 and continue to be by far the largest unhedged reserves in the industry. In addition to prove improbable reserves, we reported MNI resources of 61.8 million ounces in inferred resources of 31.6 million ounces, giving us an overall gold inventory of more than 233 million ounces. We also have a large inventory of copper and silver including about 6 billion pounds of copper reserves, nearly 13 billion pounds of MNI copper resources and a further 9 billion pounds in the inferred category. Silver reserves contained with our gold reserves totaled more than 1 billion ounces and it's important to highlight that our reserves are well situated in geopolitically secure countries with about 60% being located in investment grade countries. Our 2010 exploration budget is a $170 to a $180 million and will be weighted towards near term resource additions and conversions at our existing mines, that comprises about 80% while still providing support for earlier stage exploration in our operating districts. A smaller percentage of the budget or about 20% is directed at emerging areas in order to generate quality projects for future years. About 44% of the total budget is expected to be spent in North America with about 38% of the total targeted for Nevada. About 35% of the total will be allocated to the Australia Pacific RBU including Papua New Guinea, which is expected to provide future growth opportunities and approximately 10% of that total is targeted for the South America region with the rest divided between Africa and other emerging areas. And as always, Barrick has maintained a strong financial position with the industry's only A credit rating and we start the year with $2.6 billion of cash in an undrawn credit facility of $1.5 billion. Our gearing is relatively modest with the net debt to total capitalization of just 0.18 to 1.This includes the floating contract liability which had been reduced to $0.7 billion at year end and which is akin to a US dollar floating rate long term obligation. This is mainly a ten year terms with the commercial banks at an average current floating financing charge of about 2% to 3%. This obligation is not subject to any gold price changes and no activity in the gold market is required to settle it. As I mentioned it, it's just like debt. And we're generating robust operating cash flows which is nearly $3 billion on an adjusted basis in 2009. At gold prices which are well below current levels. We have the balance sheet, financial resources, the operating cash flow and access to capital to allow us to advance our objectives. Having said that, we will be applying a disciplined and prudent approach to capital allocation and expenditure decisions to ensure we maximize the returns on shareholder equity. With that I'll now turn it back over to Aaron.
Aaron Regent: Thanks Jaime. This next slide shows the seven projects that we have in our pipeline. I'd like to provide you an update on where we stand with each of these. Our three advanced projects remain on schedule in line with their capital budgets. Cortez Hills is producing now. Pueblo Viejo will begin producing in the late 2011 and Pascua-Lama in late 2012, early 2013. The full capacity of these three mines will produce above 2.4 million ounces of average annual production at lower cash cost in our current portfolio. The other four projects are at the feasibility stage or [permitting] stage. They're each large, long life and low cost mines which provide us with considerable development options for the future. I'd like to comment first of Cortez Hills which is in Nevada and as I said is essentially complete and is in the final stages of commissioning and I think its worth noting that this the seventh mine that Barrick has delivered on time in the last five years. Cortez is currently running at our planned rate of 400,000 tonnes per day. We are crushing, conveying and stacking ore. The project is on schedule, on budget. In its recent photo you can see the completed conveyor and the process stockpile which is connected to across the valley. For 2010, the entire Cortez property is expected to deliver around 1.1 million ounces at a cash cost of around $300 per ounce. This assumes that there is no interruption to our operations. But on that I'd like to provide an update on the status of the Ninth Circuit Court decision related to a motion, to stop work on the project and a trial on the merits. By way of background which I think is helpful to understand where we stand. So going back again in time on November 12, 2008 the US bureau of Land Management or the BLM approved the Cortez Hills expansion project after three years of analysis to complete the requirements of the EIS. It was then on November 20, a lawsuit was filed by a group largely from the Western Shoshone tribe to stop the project on the grounds that it would violate their rights under the Religious Freedom and Restoration Act and the Federal Land Policy Act and that the EIS was not adequate. However, the claim under the religious freedom act was later dropped due to a recent supreme court decision which would make it impossible to prevail. In November 2008, the plaintiffs filed a motion for a preliminary injunction until after a trial on the merits. But it was in January of 2009 that the district court denied the plaintiff's motions. But the plaintiff then appealed to the Ninth Circuit. The Ninth Circuit on December 3 of this year issued its decision denying most of the claims but with respect to two of the environmental claims determined that additional studies be completed specifically related to one, the effectiveness of proposed litigation measures related to potential impacts of ground water pumping and two the air quality impact of trucking of refractory ore which represents about 3% of the total ore production so trucking refractory ore, two [goal strikes] for processing. Upon hearing the result we put in place a plan that we believe should minimize any operational disruptions. Specifically we immediately engaged with the bureau of land management to determine the work necessary to complete the supplemental EIS. We have effectively completed the technical work and are working through the improbable process. And we believe that our supplemental EIS should be completed in the fourth quarter of this year. Second, we developed a revised operating plan which will modify our money plan to refrain from activities that would impact on the areas identified by the Ninth Circuit. This has been presented to the district court for its consideration and accordingly we believe that a limited injunction of activities is an appropriate response. Well there can be no uncertainty we are cautiously optimistic that our proposal will be accepted so that does address the discrete points raised by the Ninth Circuit Court and importantly our proposal would keep hundreds of peoples employed at a time when the state of Nevada is facing tremendously difficult economic circumstances. The timing of the hearing has not yet been scheduled but we expected to take place some time in late March or April with a decision issued in the normal course. As developments unfold we will provide a full update as appropriate and that said the mine is up and running as you can see from these photos which show activity in the open pit and the completed truck shop and crusher. Turning to a Pueblo Viejo, the project is advancing according to plan with initial production expect in the fourth quarter 2011 detailed engineering is now more than 80% complete and majority of site preparation earthworks are complete at about 44,000 cubic meters of concrete have been poured and 1,500 tons of structural steel are erected. Currently about 60% of the project capital has been committed which is around $1.9 billion. We had made one of modification to the project; the original plan was to begin operating the processing plant in a phased approach beginning at 18000 tonnes per day. But we've made the decision to eliminate this saving and begin at 24000 tonnes per day. This will allow us to bring full production sooner than originally planed. The impact is at Barrick 60% share of Gold production in the first five years is now expected to increase to an average of 625,000 to 675000 ounces from prior expectations of 600,000 to 650000 ounces but we'll also be at lower cash cost of about $250 to $275 per ounce which previously compared to $275 to $300 per ounce. The other impact is that the previously disclosed expansion capital of $300 million will be brought forward that's what the preproduction capital is expected to be above $3 billion on a 100% basis. We are very excited about this project. What's also encouraging is that the size of reserves that PV continues to grow since acquiring the project with the Placer Dome acquisition, reserves have increased more than 75% or 10.3 million ounces to 23.7 million ounces on a 100% basis, this is expected to support mine life of over 25 years. Turning to Pascua-Lama. The structuring efforts have been ramping up at Pascua-Lama which is as you know located on the border of Chile and Argentina. This is another large low cost mine. First five years of production is expected to be around 750,000 to 800,000 ounces of gold and 35 million ounces of silver. And cash cost assuming at $12 silver price of around to 20 to 50 ores per ounce. But this project is very sensitive to the change [about two of our] silver prices. To illustrate this, for every $1 increase in the silver price, total cash cost are expected to decrease by about $35 per ounce. So if you took today's prices, this would be a negative cash cost mine. Engineering is about 90% complete another 25% of the capital has been committed including securing the mining fleet, the processing mills, cap accommodation and earthworks contractor. Major earthworks Chilean side are progressing well. The portal for the tunnel which provides access for the shipment of ore between Chile and Argentina has been established, and the Barrealis camp is progressing well with 540 people currently on site. In Argentina, contractors for early earthworks site preparation have also mobilized. The project remains in line with those preproduction capital of $2.8 billion to $3 billion and is on scheduled into production in the late 2012, early 2013. Turning to Cerro Casale, the feasibility study optimization work has now been completed. Pre-production capital is now expected to be about $4.2 billion and while the capital costs have increased compared to the prefeasibility study over the life of the mine production rates are also up, unit costs are down and the reserve base has also grown. The principal change is from the PFS, included change from SAG milling to High Pressure Grinding Rolls, which increases the plant throughput by about 10% to about 60 million tonnes per annum. In addition this will provide a finer grind which will increase recoveries for gold, copper and silver. The added benefit is that our production levels will increase and at lower costs, and with lower operating costs we're also able to increase the reserve base. Gold reserves have increased by about 15% to 23 million ounces, while copper reserves increased by about 80% to 5.8 billion pounds. We have increased ownership to 75%. Barrick's share of average annual production in the first five years is now expected to be between 750,000 and 825,000 ounces of gold and 170 million to 190 million pounds of copper, while cash costs are expected to be around $240 to $260 per ounce. On a life of mine basis, our share of gold production will be around 650 million ounces while copper production will be around 170 million to 190 million pounds and the life of mine cash costs are expected to be around $140 to $160 per ounce. You can see this is a very low cost mine. This project is [sanction] with the copper prices, a $0.25 per pound change in the copper price would have about a $50 per ounce impact on expected total cash costs. Based on current reserves the mine life is about 20 years. The construction timetable is approximately 3 years following the receipt of key premise which means first production could be in late 2004 and ramp it up in 2015. The next step is to review additional premier requirements before considering a construction decision. We believe that Cerro Casale is an attractive work deposit it has a large reserve base as I mentioned over 23 million ounces of gold, 6 billion pounds of copper and is located in attractive country where Barrick has experience and potential synergies with some of its other projects and operations. There is also further exploration potential within existing oil body which is open at depth, and also from several satellite deposits. Project economics are robust particularly at today's metal prices as for these reasons that we have agreed to acquire an additional 25% of the project from Kinross for a total consideration of $475 million which increases our ownership to 75%. The joint venture terms have been amended to reflect our increased ownership which gives us control over the project enabling to better control the timetable. In addition, this acquisition will increase our gold reserves by 5.8 million ounces and our copper contained within gold reserves by 1.4 billion pounds, providing further leverage to metal prices which is one of our strategic objectives. Beyond these advanced projects we have three other large late state projects that either have completed or near have completed their feasibility studies. And collectively these projects contain minimal inventory of about 37 million ounces of gold about 20 billion pounds of copper and about 1.6 billion pounds of nickel. And rest as it represents significant unrecognized value within our portfolio. (inaudible) the feasibility study is being finalized and is now under review. And progress continues with the expansion studies and a base line environmental and social impact assessment which is expected to be completed in the first half of 2010. Now certain media reports have indicated that the Government of Baluchistan intends to terminate the expiration license for this project. We have not been given any official notice due with effect we are in full compliance with our licensees and we will continue to have discussion with the authorities to clarify matters and develop the path forward. At Donlin Creek further optimization work on the Donlin Creek project in Alaska which has 37 million ounces of M&I gold resources that's on a 100% basis. But this is under way and its primarily focused on the potential to utilize natural gas to reduce operating cost, this work is expected to be completed by mid 2010 at which point the project the Donlin Creek project will either file permit applications for the original project design or approve a supplemental budget and proceed to revise the feasibility study to include the natural gas option. At the Kabanga nickel project, project specifications continue to evolved and finalization of the feasibility study has been extended to July 2010 to allow optimization of project engineering and capital requirements. For all these projects we will continue to provide updates on our progress as we move through 2010. Now one thing I want to specifically mention is where we stand with El Morro, as we reported previously our agreement to purchase 70% in the El Morro project was not complete in a first quarter as anticipated. New Gold and Goldcorp have in our opinion attempted to circumvent the existing agreements through the indirect and improper transfer of the El Morro interest from Xstrata to Goldcorp; consequently Barrick had filed an action in the Ontario Court to protect our interest. We believe our position is well founded and in term to pursue actions and may be required to sort the matter out to a final conclusion. I'd now like to make some specific comments about our production and cost growth for 2010. We expect to produce between 7.6 ounces to 8 million ounces of gold and cash cost of $425 to $455 per ounce or net cash cost of` $345 to $375 per ounce. Our production will be higher when compared to 2009 and at lower costs this assumes though that there is no interruption in production at Cortez and it also reflects a reduction of our share of equity production due to the African Barrick Gold IPO. In the event, the District Court issues a decision that differs substantially from Barricks Motion for a limited injunction. The company will revaluate operating guidance and we will report that to you. Higher production and lower cash cost guidance this year primarily reflects new low cost production from Cortez, higher production and lower cost from Veladero as a result of higher grades and increased throughput from the crusher expansion and a full-year production from the new Buzwagi mine. Production for 2011 is expected to be in a similar range to 2010 at slightly higher total cash costs after factoring in inflation. We expect 2010 copper production in the range of £340 million to £365 million and total cash cost of $1.10 to $1.20 per pound. Lower copper production and lower total cash cost reflect the planned divestiture of the Osborne mine in the second half of 2010. Barrick continues to deliver substantial growth in cash margins on a total cash cost basis, our cash margins were 53% of sales for 2009 and have risen to 58% or a record $645 per ounce for the fourth quarter based on the realized price of $1119 per ounce and total cash cost of $474 per ounce. For 2010, assuming our cash cost guidance of $425 to $450 per ounce, and a spot price of about $1100 per ounce. Our current cash margins would be between a record $645 and $675 per ounce representing around 60% of sales. On the net cash cost basis, margin expansion is even more significant rising to 63% of sales for 2009 and expanded to 71% or $798 per ounce in the fourth quarter based on net cash cost of $321 per ounce. For 2010 assuming our net cash cost got us a $345 to $375 per ounce our cash margins would continue to be well over $700 per ounce. Now turning to African Barrick Gold, we announced the creation of this company or African Barrick Gold which will be a new public company whose equity we are seeking to list with the UK listing authority and to admit to trading on the London Stock Exchange and have issued an intention to float announcement in the UK. The assets of this new company will include all of our Tanzanian gold operating assets and extensive exploration portfolio. The new company will offer approximately 25% of this equity to market with Barrick retaining the balance. And we will remain a committed and supportive shareholder and the new company also intends to pursue a future listing on the Dar es Salaam Stock Exchange which will enhance its profile in Tanzania and also allow for local participation in the business. We believe that by doing this we will be better positioned to realize the full potential of this operating platform and maximize value for our shareholders. African Barrick's gold options and its ability to finance those options will be expanded and the intensity with which those options will be pursued will be improved driven by a high quality incentivized management team and guided by experienced board of directors of which I'll be the Chair. Projects that are small at a Barrick level could have a meaningful impact on the profile of this company and capital can be allocated accordingly. The structure also provides and increased ability to attract, retain and reward high quality people which historically has been a challenge in this region. Their efforts will be more directly reflected in the performance of the company. African Barrick will continue to benefit from the broader resources experienced in equities of Barrick and through its majority ownership position Barrick will participate in the value that's created and recognized by the public markets. In addition, return of this capital to Barrick will also provide increased financial capacity to fund Barrick's significant pipeline of projects. The new company will be one of Africa's five largest gold producers with four [producing] mines in addition to a number of exploration properties and projects. At the end of 2009, the new company had total reserves of 16.8 million ounces on a 100% basis and is expected to produce 800,000 ounces to 850,000 ounces in 2010. We had a strong balance sheet and we expected to have a initial cash balance of $280 million and no debt. The balance of the IPO proceeds will be returned to Barrick. It will be run by an excellent management team and supported by a strong board of directors. Subject to market conditions pricing is expected to occur in late March with closing expected by the end of March. Now, I suspect that you'll have many questions, but I want to point out that we are somewhat constrained in what we can say by various securities laws, but want to assure you that all your questions will be answered in due course. I'd now like to warp things up by making a few brief comments about the gold market. But the key thing is, overall, we believe that the positive story for gold remains intact and is only been reinforced by recent developments around the world including developments in Europe. While gold has traded more in the last couple of months on a stronger US dollar and concerns that (inaudible) in China could endanger economic recovery. Our view is that the updraft in the dollar is tied to increase risk aversion or resolving credit worries in Europe. We think global monetary and fiscal inflation remained necessary for some time to come, global imbalances remain an excess of global US dollar reserves that appear to be concerning countries that's just China and Russia. Perhaps not surprisingly there has been a change in official sector sentiment with central banks being net buyers of gold in the last three quarters of 2009. From an industry perspective, my supply is expected to contract in the longer term as established mining jurisdictions are mature, grades are declining, new resources are becoming more difficult to fund and are often located in remote and challenging environments. However, as you know the gold market is a small industry, so even a smallest allocation of portfolio dollars to gold could have some significant impact on the price of the metal. So, it's again a backdrop we expect Barrick to be a major beneficiary of a strong gold environment. So to wrap up just to repeat we are positive in our outlook for gold and with our large fully on hedge production reserves Barrick has positioned to offer shareholders exceptional leverage to these high gold prices. For 2010, we expect higher production at lower cost relative to 2009 and as such our position to generate very strong earnings and cash flow. We are focused on increasing the net asset value of the company and increasing our metal exposure per share which we are achieving through a number of ways, first by growing reserves as we did again in 2009 which is a reflection of the quality of our land positions and our exploration efforts. By advancing our portfolio of low cost, higher quality projects which are all on schedule and inline with our preproduction capital budgets and expected to deliver lower cost products in the next three years. And strategically acquired additional assets like Cerro Casale which has reserves in a large, long life project in attractive region and by also better leveraging our African operating platform with equation of African Barrick gold. The company enters 2010 in a strong financial position with industry's highest rated balance sheet that gives us the flexibility to support our projects and operations and grow our business and which is underpinned by our ability to generate robust cash flows in a positive gold price environment. So with that, that concludes our formal presentation. And now operator we'd like to open up the line for questions. Thank you.
Operator: (Operator Instructions). Our first question is from the line of David Christie from Scotia Capital.
David Christie: Just a couple of quick questions here I guess. First on Cerro Casale, when will you be pushing towards submitting and permitting what's your sort of timeline on that?
Aaron Regent: I suspect we will be doing that early this year, and the timing in terms of approvals of both the EIS and the [sectoral province] will likely be in the third quarter, or fourth quarter of 2011.
David Christie: And sort of how does this fit in with El Morro. Let's assume you have El Morro, how would it fit in within timeline wise?
Aaron Regent: I don't know. I think that with respect to Casale we now have finalized the feasibility study, so we've a pretty good idea of what the project economics looks like. Our plan with El Morro was to spend the first part of our ownership of that project to re-refine and look at the feasibility study. We had some ideas and how we might be able to improve that and so the plant would have been to conduct that work and finalize that feasibility study and then we'd have to compare the relative merits of both project from a economic perspective as well as some of the issues from a permitting perspective. So I think that I realize we had not made a decision one way or the other. The first thing was to, as I think I said before, first thing was to get hold of El Morro and then do the work and then we've been in a position to determine what would make sense.
David Christie: Okay, so you're like, probably you're behind on sort doing the tactical work on that one from Cerro.
Aaron Regent: I think El Morro, I don't know. I think about a year, six months, be it plus or minus, the projects themselves are pretty close.
David Christie: Okay, and just moving on to African Barrick, I don't know what you can answer on that but why none of the debt going to the New Gold.
Aaron Regent: Pardon me?
David Christie: Why none of the debt going into the New Gold.
Aaron Regent: Why no debt? Well I think what we're trying to do is position the company and as I said in my remarks to really lever the base we have there to accelerate the growth of the company. We think there are a number of opportunities in Africa, opportunities which are probably smaller from a resource and production perspective. So it won't have a big impact on Barrick but they could have a big impact on the profile of this company. And so we wanted to ensure they were set up in a way where they had lots of flexibility to pursue those options. I know a few things that I think are kind of in the pipeline of the things that are being looked at. So as I said, we shared a strong balance sheet so we could facilitate the growth of the company.
David Christie: Okay and so head office will be in London?
Aaron Regent: Head office is in London.
David Christie: So what kind of reduction in Toronto head office costs will it be? If any.
Aaron Regent: I think that I don't expect that to be much if any at all.
Operator: Our next question comes from the line of Greg Barnes, TD Newcrest. You may proceed.
Greg Barnes: Aaron did you pursue other opportunities to monetize African Barrick did you look to sell the assets.
Aaron Regent: We get proposals all the time as you can imagine and it does reflect the fact that there are a shortage of producing assets in the industry so we get approached all the time but that wasn't something that we are particularly interested in or and quite frankly I think we can create a lot more value in this form than by just if you want to just by selling assets individually but that's not our strategy. Our strategy is we think there's lots of potential in Africa. We think it's a unique business environment and so we are establishing a structure which I think is very customized to the continent and customized to the opportunities that are out there and that's why we went this route.
Greg Barnes: Now that growth opportunities within African Barrick are they organic growth opportunities or are they opportunities you are going to have to go to out or they are going to have to go out and buy?
Aaron Regent: I guess Greg this is what I am starting to get a territory where I am constrained in what I can say what I will tell you is that from a timing perspective you know a road show will be conducted within I guess starting around March 5 or so. And so there will be a lot more disclosure materially if you can look at which will give you a sense of how the company is positioned currently and what its future looks like.
Greg Barnes: Okay well just on a broader perspective then is this like to call it sort of a shrink to grow opportunity for Barrick you can take these lower growth higher cost regions of the world, spend them out and focus more on growth of your opportunities in South America and North America. I guess I am leading to the ideas, Australia clearly is an area where you don't have a lot of growth high cost declining reserve basis this something you would consider for that region as well?
Aaron Regent: No, I think we are very focused on Africa and I said the type of opportunities we see in Africa are of a smaller scale that we see another parts of the world and so we're trying to right size the business to enable us to pursue those opportunities and in the way where I think that we'll have a positive impact on the profile of the company and we think that is a public company that will get better reflected in the recognition of value, when we look around the world they are still, we think Australia but we also look at Papua New Guinea we think there is lots of opportunities and potentially big opportunities in PNG and you can sort of see that and where our exploration dollars are going in North America, and Nevada, there is still again lots of potential in Nevada including South America that's also [Elephant] country. So as say that's really…I
Greg Barnes: (inaudible) very much so that kind of was excluding PNG so its just Australia, the continent looking at those assets there they are growing very much in your high cost some difference with the African assets in that perspective.
Aaron Regent: They also generate a lot of cash flow for us it's a very stable jurisdiction and we are not giving up on growth in Australia either the mandate that all of the regions have to grow and we're not giving up on our ability to grow Australia, so I wouldn't want to come to that conclusion.
Operator: Our next question is from the line of Heather Douglas with Thomas Weisel Partners.
Heather Douglas: I have a quick question about Cerro Casale, you mentioned that with the new feasibility that identified opportunities to improve recoveries, can you tell us what the new recoveries are?
Aaron Regent: The gold recoveries have gone from about 70% to around 74%. Silver recoveries have gone up quite significantly, recall from our 46% to around 82% and copper recoveries have gone from above 84% to 91%.
Heather Douglas: That's a nice move. And then a quick question just on Australia, about a month ago, there was news about the country considering a new royalty, and how would that impact your, take this already a royalty in Western Australia, would that just be in addition, or do you have any more clarity on that?
Jamie Sokalsky: It's a broader tax reform proposal that's happening in Australia, and I think it's still very early stages and we don't really know what how it's going to shake out; we'd be upsizing at this stage.
Operator: Our next question is from the line of John Tumazos, John Tumazos Independent Research.
John Tumazos: Congratulations on all the progress. In terms of the African IPO, will Kabanga nickel be a part of it and should we expect more moves to simplify or streamline Barrick? Should we look at the African IPO as a way of funding Pueblo Viejo and Pascua and would there be something down the road that would match up in 2012 and 2013 for the Cerro Casale capital spending.
Aaron Regent: Well first of all on Kabanga, the answer is no, Kabanga will not be part of this new company. It doesn't really fit within the strategy that we have which is a focus on gold and growing our gold production and reserves and resources. So Kabanga is not part of it. And clearly the repatriation of capital enhances our financial resources. But I think as Jaime highlighted in his comments and so did I, we are currently generating significant operating cash flows. We've got cash in the balance sheet. We've got a strong balance sheet. So this wasn't a move that was necessary in order for us to find or advance our project pipeline. So I don't think that you should anticipate something similar to this happening in subsequent years. What I will say though is that one of our objectives that I sort of set out is growing the net asset value of the company and growing our leverage on a per share basis to changing the gold price. And so we will always be looking at how do we optimize our portfolio and if there are ways to reconfigure the portfolio to a change or address those two objectives we'll look at that but there is nothing specific that I could comment on at this point.
Operator: (Operator instructions). We have a question from the line of Haytham Hodaly from Salman Partners. You may proceed.
Haytham Hodaly: Just a quick follow up on Cerro Casale; just curious with regards to the purchase price from Kinross what commodity price functions did you use, what discount rate do you feel is fair to apply to it and I am assuming you did it based on some form of [NPV] analysis, is that correct.
Aaron Regent: In combination of all that. The price assumptions like most of our acquisitions will use a number of different benchmarks. We have our kind of internal treasury prices we'll look at forward curves and will also look at consensus. For projects we are looking for double digit after tax rate of returns that is our kind of bogey and so that would factor into obviously the purchase price. And in this case there was a recognition that we were effectively trying a climate control of the project which strategically was important to us and so there was a bit of that that, that were reflecting the purchase price as well.
Operator: Our next question is from the line of Mr. Christie form Scotia Capital. You may proceed sir.
David Christie: Just one more question on the African Barrick is there an agreement between the two companies Barrick and African Barrick that they will stay out of each other's territories.
Aaron Regent: Yes there is there's a non-compete. So there's a mechanism where any goal opportunity in Africa will be the African Barrick has the first right to any of those opportunities.
David Christie: Okay so even if it's a super large deposit that is typically a Barrick deposit so you can't go there.
Aaron Regent: That's correct but we also own 75% of the company
David Christie: Great. And they can't come to Chile was that same?
Aaron Regent: Correct.
Operator: (Operator Instructions). Our next question from the line of Sayan Ghosh from Citadel Investment Group, please proceed.
Sayan Ghosh: Clarify, are you guys mining and conducting business as usual based on you revised mine plan before you hear back on the injunction or are things on hold there till end of March or whenever the hearing is?
Aaron Regent: No I think Cortez is effectively, we have not altered our plan or operations at this point I just said we have developed a revised plan which we presented to the district court which we think addresses the two areas identified by the Ninth Circuit but we have not put that plan in actions at this point. So its basically ramping up on schedule and as originally anticipated.
Operator: Our next question from the line of Steven Butler, Canaccord Adams you may proceed.
Steven Butler: Cerro Casale, timing of complete I guess with this feasibility study now Aaron or [pre-fes] still?
Aaron Regent: It's a bankable to be at best level.
Steven Butler: Okay and timing of construction decision I guess there is still a way to some sort of semi final permitting steps in Chile?
Aaron Regent: The permitting process, the EIS will probably take about 18 or so months to complete. It's a point where we have to make a construction decision towards the end of 2011. And based on that, this will come into production kind of late 2014, 2015. It actually comes in nicely compared to will be finished Pascua-Lama at that point, this will come in after that.
Steven Butler: And we had the earlier filing this year based on last year's analysis for reserves, and I guess is of Kinross filing on CEDAR there will be a filing I guess assuming the next several weeks here?
Aaron Regent: I understand that Kinross will be making that filing.
Steven Butler: Not yet need to do all numbers for us; you've given us some good numbers here in the release today in terms of indicative high level production numbers like with mine et cetera. Will there be more detailed financial analysis in this study there was not one presented in the technical report earlier this year or that last year?
Aaron Regent: I don't know. I think along the course, we cannot do those filings, so I suspect it will be, I suspect there we will be consistent with the past, but I don't know. Well, that there is no further question. So I want to again thank you for joining the call and bearing with us, as we went through a kind of a lengthy formal of presentation and of course do you have further questions, please don't hesitate to call us, but again thanks for joining us today and with that operator will conclude the call.
Operator: Thank you. Ladies and gentlemen, that does conclude the conference call for today. We thank you all for your participation and ask that you please disconnect your lines. Have a great day everyone.